Operator: Welcome to Signature Bank’s 2015 Third Quarter Results Conference Call. Hosting the call today from Signature Bank are Joseph J. DePaolo, President and Chief Executive Officer; and Eric R. Howell, Executive Vice President, Corporate and Business Development. Today’s call is being recorded. At this time, all participants have been placed in a listen-only mode and the floor will be opened for your questions following the presentation. [Operator Instructions] It is now my pleasure to turn the floor over to Joseph J. DePaolo, President and Chief Executive Officer. You may begin.
Joseph J. DePaolo: Good morning and thank you for joining us today for the Signature Bank’s 2015 third quarter results conference call. Before I begin my formal remarks, Susan Lewis will read the forward-looking disclaimer. Please go ahead, Susan.
Susan Lewis: Thank you, Joe. This conference call and oral statements made from time-to-time by our representatives contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 that are subject to risks and uncertainties. You should not place undue reliance on those statements, because they are subject to numerous risks and uncertainties relating to our operations and business environment, all of which are difficult to predict and may be beyond our control. Forward-looking statements include information concerning our future results, interest rates and the interest rate environment, loan and deposit growth, loan performance, operations, new private client team hires, new office openings and business strategy. As you consider forward-looking statements, you should understand that these statements are not guarantees of performance or results. They involve risks, uncertainties and assumptions that could cause actual results to differ materially from those in the forward-looking statements. These factors include those described in our quarterly and annual reports filed with the FDIC, which you should review carefully for further information. You should keep in mind that any forward-looking statements made by Signature Bank speak only as of the date on which they were made. Now, I’d like to turn the call back to Joe.
Joseph J. DePaolo: Thank you, Susan. I will provide some overview into the quarterly results and then Eric Howell, our EVP of Corporate and Business Development, will review the Bank’s financial performance in greater detail. Eric and I will address your questions at the end of our remarks. Signature Bank delivered another exceptional quarter of growth and performance, resulting in our 24th consecutive quarter of record earnings. We, again, delivered record deposit and record loan growth, expanded top-line revenues, maintained strong credit quality, and continued to invest in our future. I will start by reviewing earnings. Net income for the 2015 third quarter reached a record $96.2 million, or $1.88 diluted earnings per share. An increase of $19.4 million, or over 25%, compared with $76.8 million, or $1.52 diluted earnings per share reported in the same period last year. This significant improvement in net income is mainly the result of an increase in net interest income, primarily driven by both record deposit and loan growth. These factors were partially offset by an increase in non-interest expense attributable to our revenue growth initiatives as well as in part regulatory and compliance costs. Looking at deposits; deposits increased a record $2.16 billion, or 8.8%, to $26.6 billion this quarter, including core deposit growth of $1.15 billion, and average deposit growth of $1.54 billion. In the past 12 months, deposits increased $5.3 billion, core deposits increased $3.7 billion, and average deposits increased $5.4 billion. Non-interest bearing deposits of $8.1 billion, represents 30.6% of total deposits and grew $356 million this quarter. The record deposit and loan growth, coupled with earnings retention, led to an increase of $5.97 billion, or 23%, in total assets since the third quarter of last year. Total assets are now approaching $32 billion. The ongoing strong deposit growth is attributable to the superior level of service provided by all of our private client banking teams, who continue to serve as a single point of contacts for their clients. Now, let’s take a look at our lending businesses. Loans during the 2015 third quarter increased a record $1.7 billion, or 8.3%, to $22.2 billion. For the past 12 months, loans grew $5.68 billion and represents 69.6% of total assets, compared with 63.8% one year ago. The increase in loans this quarter was primarily driven by growth in commercial real estate and multi-family loans. Turning to credit quality; our credit metrics all remain very strong. However, we have seen further weakening in our medallion portfolio. Watch those credits increased $41 million to $308 million, still a low 1.4% of loans compared with $266 million or 1.3% of loans for the 2015 second quarter. During the 2015 third quarter we saw an increase of $29.7 million in our 30-day to 89-day past due loans to $67.3 million. 90-day-plus past due loans decreased by $14.3 million to $9.6 million. Non- accrual loans increased to $59.6 million or 27 basis points of total loans, compared with $41.6 million or 20 basis points for the 2015 second quarter and $24.4 million or 15 basis points for the 2014 third quarter. Provision for loan losses was the $11.4 million compared with $9 million for the 2015 second quarter and $7.7 million for the 2014 third quarter. Net charge-offs were $5.5 million, or an annualized ten basis points, compared with $2.6 million, or five basis points for the 2015 second quarter and $1.5 million or 4 basis points for the 2014 third quarter. The allowance for loan losses was 0.82% of loans versus 0.86% in the 2015 second quarter and 0.95% for the – 2013 – excuse me for the 2014 third quarter. Additionally the coverage ratio remained very strong at 307%. While we are pleased that our credit metrics are strong again this quarter, we remain mindful of the uncertainty in the global economic and political environment and again we are appropriately reserved. Just to review teams for a moment. We added a private client banking team in the third quarter bringing a year-to-date total to five. Additionally, we began lending in our municipal finance and commercial vehicle finance businesses. At this point, I’ll turn the call over to Eric and he will review the quarter’s financial results in greater detail.
Eric Howell: Thank you, Joe and good morning, everyone. I’ll start by reviewing net interest income and margin. Net interest income for the third quarter reached $250 million up $44.7 million or 22%, when compared with the 2014 third quarter, an increase of 6%, or $13.7 million from the 2015 second quarter. Net interest margin decreased three basis points in the quarter versus the comparable period a year ago and decreased five basis points on a linked quarter basis at 3.22%. Excluding prepayment penalty income, core net interest margin for the linked quarter decreased six basis points to 3.11%. Four basis points on the linked quarter decrease was due to an increase in average cash balances stemming from record deposit growth, coupled with a challenging market for securities, reinvestment and day count. Let’s look at asset yields and funding costs for a moment. Due to the prolonged low interest rate environment and heightened competitive landscape, interest earning asset yields declined 11 basis points from a year ago. And on a linked quarter basis yields decreased 6 basis points to 3.64%. The linked quarter decrease was predominantly driven by headwinds from CRE refinance activity and considerable excess cash balances. Yields on the investment portfolio remain stable linked quarter at 3.04% as lower reinvestment rates offset benefits from a slight decreased in CPR speeds. The duration of the portfolio decreased to 2.84 years as a result of the continued flattening of the yield curve. Turning to our loan portfolio, yields on average commercial loans and commercial mortgages declined three basis points to 4.03%, compared with the 2015 second quarter. Excluding prepayment penalties from both quarters, yields would have declined six basis points. Now looking at liabilities, our overall deposit cost this quarter remain stable at 40 basis points and our cost of average borrowings was down seven basis points leading to an overall decline of one basis points in our total cost of funds to 46 basis points. And on to non-interest income and expense. Non-interest income for the 2015 third quarter was $7.9 million a decrease of $200,000 when compared with the 2014 third quarter. Non-interest expense for the 2015 third quarter was $86.2 million versus $74.3 million for the same period a year ago, $11.9 million, or 16% increase was principally due to the addition of new private client banking teams and our continued investment in the growth of Signature Financial, coupled with an increase in cost in our risk management and compliance activities. We anticipate these investments will facilitate further growth. Factoring in the significant hiring since last year and increased regulatory cost, The Bank’s efficiency ratio still improved slightly to 33.4% for the 2015 third quarter, compared with 34.8% for the 2014 third quarter. And turning to capital, our capital ratios were all well in excess of ringlet rate requirements and augment the relatively well risk profile balance sheet as evidenced by Tier 1 leverage ratio of 8.95% and a total risk-based ratio of 12.34% as of the 2015 third quarter. And now I’ll turn the call back to Joe. Thank you.
Joseph J. DePaolo: Thanks Eric. Once again Signature Bank delivered another quarter of stellar performance as exemplified by record deposits and record loan growth, as well as record earnings. The Bank’s disciplined approach the client-centric banking allows us to continue to flourish while meeting the rigorous of the unprecedented current regulatory environment. We are proud of our ongoing accomplishments in our 24th consecutive quarter of record earnings, which were achieved through the collective efforts of all our colleagues and we look to further our growth across all facets of Signature Bank. Now we are happy to answer any questions you might have. Christal, I’ll turn it over to you.
Operator: The floor is now open for questions. [Operator Instructions] Thank you. Our first question is coming from Jared Shaw with Wells Fargo.
Jared Shaw: Hi, good morning.
Joseph J. DePaolo: Hi, Jared.
Jared Shaw: Could you give us an update on where you stand now with the taxi portfolio, specifically in Chicago and the restructuring balance there?
Joseph J. DePaolo: Yes, what we are going to do is – we’ve figured we would have a number of questions as it relates to medallion. So Eric will provide significant amount of information about the taxi medallion portfolio both New York and Chicago in his answer. And we believe we’ll answer all or nearly all potential questions. We just want to point out it only represents 2% of our assets and we hope not to spend more time than is necessary. So Eric I’ll turn it over to you.
Eric Howell: Yes, so let’s – we’ll talk Chicago first where we’ve really worked through a lot of the issues there and are seeing a market settle down a bit. Currently we have 753 medallion loans at total $171 million. The LTV, the current LTV is at 95% and that’s based on $240,000 value and our debt service coverage remains at the 1.28 times. Approximately $110 million of the portfolio has been refinanced. We worked very closely with the borrowers, so they would receive overall cash flow relief and we would receive amortization. And we’re fairly confident they will continue to pay us. And actually on the $57 million that refinanced in June we received prepayments on that this quarter. So very positive that we restructured significant amount of portfolio, we’ve got about another $13 million that we’re in the process of refinancing currently and then the remaining $48 million of that portfolio is paying and we expect they will continue to pay and ultimately we’ll look to restructure those as they come due. We’ve got approximately $20 million of that portfolio that’s on non-accrual, $12.8 million of the $20 million has been restructured and they’re paying under the new terms. They’ll come off of non-accrual after six months of payments. Another $3.2 million of the $20 million is in foreclosure. And we actually have a contract for sale on seven medallions add that value of around 240,000. So that’s where we’re coming up with our value of 240 on those or for a total of $1.68 million and ultimately we’ll have a slight recovery on all those medallions when we sell those. The remaining $4 million are in various stages of collection and workout and there is a potential for foreclosure there as well. And for the year, we’ve charged off approximately $2.4 million of the Chicago medallions 500,000 this quarter I think that’s the most important factors that – we’re ultimately not seeing much losses in these medallions when we do take them back and foreclose or restructure on them. So a very low level of losses again this quarter at 500,000. If we turn to New York, our portfolio there is about $622 million of loans, down from $628 million in June, the LTV is 87% based on 700,000 for individual medallions and 800,000 for corporates. There are actually five individual medallion sales in August and September, ranging between 715,000 and 725,000 and again we’re using 700,000 to value ours. And there were four corporates sales, two at 875,000, two at 805,000 and again there we’re using 800,000. The debt service coverage remains stable again at 1.2 times. It’s about $38 million in the 30 to 89 day past due pocket, which is not really surprising given we’re coming out of the summer months which are typically slower and we’re actively working on collecting those loans and there is about $7 million in the 90 plus days past due, these credits are all seem to be collectible and have likely made partial payment in the last 60 days. On non-accrual in New York we have $6.5 million on nine medallions, one is being auctioned and we have a pre-auction approved buyer at a level where we would have no loss. One is going through a normal restructuring where the driver was disabled for a period of time and again we expect no loss. And seven of the loans which totaled $5.1 million are moving to foreclosure. If we assume a sales price of $700,000 on each, we would an overall exposure of approximately $200,000. So again similar to Chicago, we’re just not seeing much of a loss factor on medallions better in the foreclosure process. Thus far in New York, we’ve not taken any charge-offs however, given what we just said, we expect to have a small amount in the fourth quarter. So that’s really the details on the portfolio. I think we can open it up for further questions.
Jared Shaw: Great, thanks. That’s great detail. As you look at the capital levels, we’ve specifically looking at Tier 1 leverage down below 9% this quarter, are you comfortable with that going lower in the 8% range or at what point would you like to see capital be a little higher?
Joseph J. DePaolo:
.: So right, having said that right now, we have a significant amount of capital and we are generating internally a significant amount of capital, as we approach $100 million in earnings on a quarterly basis. So the way we we’re looking at it is, not so much the ratios, we’re going to look at its growth in the near future for an extended period of time, exceeds our internal capital generation and at that point will access the need for capital.
Jared Shaw: Okay, thank you. And finally I guess if, you just looking at the securities portfolio with the duration continuing to come down, any thought to maybe potentially putting a little more duration on as we’re apparently in a lower for longer rate environment here?
Eric Howell: Yes, we kind of like a three duration Jared, so we probably look to maintain around that.
Jared Shaw: Okay, great. Thank you very much.
Eric Howell: Thank you.
Joseph J. DePaolo: Thank you.
Operator: Your next question comes from the line of Bob Ramsey with FBR.
Bob Ramsey: Hey, good morning guys.
Joseph J. DePaolo: Good morning.
Bob Ramsey: Good morning. On net interest margin, I know you all highlighted that about half of the quarter impression this quarter reflected the deposit growth and liquidity. Is there any potential to recapture some of that next quarter or do you think that as you sort of lever the deposits the core pressures will mitigate sort of mitigate that potential benefit.
Joseph J. DePaolo: Look, I mean we can see the pop – the NIM go up or down a few basis points from these levels. But ultimately it’s going to be mostly predicated upon deposit flows. We have another strong quarter, we’ll probably have some NIM decline, but we could get some recapture if deposits remain, like that $1 billion to $1.5 billion level more normalized growth.
Bob Ramsey: Okay, great. And then any sort of sense of, I guess loan pipeline heading into the fourth quarter and deposit flows there obviously were some short-term stuff end of this quarter. I’m just wondering how you’re thinking about the average balance growth on loan and deposits in the fourth quarter?
Joseph J. DePaolo: Bob, we have a pretty robust pipeline, we’re looking towards another fourth quarter being similar to the second quarter where we had a growth of about $1.2 billion or so for the loan pipeline. Fourth quarter is very difficult to judge because with calendar year-end and too much of push loans into get them closed before year-end who wants to already decide to push into the 2016. Even though it’s little unpredictable, we do have a pretty solid pipeline.
Bob Ramsey: Okay, great. Thank you guys.
Joseph J. DePaolo: Thanks Bob.
Eric Howell: Thank you, Bob.
Operator: Your next question comes from the line of Dave Rochester with Deutsche Bank.
Dave Rochester: Hey, good morning guys. Nice growth this quarter.
Eric Howell: Hey, Dave. Thank you.
Dave Rochester: On your loan pipeline comments just then how much in the way of volume do you think you’ll get from package deals in 4Q that you’re seeing right now. And how much did you have this quarter?
Eric Howell: Well, I’ll give you some information. I would think that the package deals are not nearly right now in the pipeline, not nearly as great as they were in the third quarter. To give you an idea, the fourth quarter of 2014 between large loans and packages. So anything above $25 million, we did $400 million. In the first quarter, we did $691 million and the second quarter $326 million. So for the third quarter, we had $824 million that was – almost nearly $470 million in single large loans, and about $355 million or $356 million in packages. So that that helps to drive – the $824 million help to drive the large increase in record growth of the $1.7 billion. We have some large loans in the pipeline for to fourth quarter, but not nearly as much as we had in the third quarter on a comparative basis. And hence we’re looking at $1.2 billion or so as opposed to $1.7 billion.
Dave Rochester: Got you, okay, that’s helpful. And then may be just following along the same lines on the loan side. Do you happen to have the loan balances by bucket this quarter?
Eric Howell: Yes, commercial property was $6.5 billion; multi-family was $11 billion, residential mortgages were $530 million and $81 million in construction and land, and home equities of $169 million, C&I loans worth of $3.9 billion, and consumer loans were around $10 million.
Dave Rochester: And then how large is Signature Financial now?
Eric Howell: Signature Financial is $2.9 billion.
Dave Rochester: Perfect, thanks. And then just switching to the margin, I was just wondering what the impact was from securities premium am expense this quarter. It sounded like you’re saying that was may be down a little bit this quarter. And then on your NIM guidance, were you saying that it could be up or down a couple of basis points in 4Q?
Eric Howell: Right, NIM, we really expect to be stable.
Dave Rochester: Okay.
Eric Howell: Again, the deposit flows will be the biggest factor there and obviously shape the yield curve. On the securities amortization, we had about $900,000 less in securities amortization.
Dave Rochester: Got you. And then where reinvesting rates today?
Eric Howell: In the high 2s.
Dave Rochester: But you’re not really buying that much, right, just replacing what’s running off at this point?
Eric Howell: We’re being very selective as to when we enter the market. That’s correct.
Dave Rochester: And then on loan pricing on the multi-family side, you guys told 3.38 on the five one arms?
Joseph J. DePaolo: Yes, still 3 and 3.8. During the quarter, we had increased it for a short period of time to 3.5 and then went back down very quickly to 3.38. And that’s where we are and we expect to be for the remainder of the year.
Dave Rochester: Perfect. And just one last one, you’ve been able to keep that institutional money market rate fairly low and you brought it down a little bit earlier this year, it’s sort of stabilized, may be picked up a basis point. Can you just update us on the competitive dynamics there? And what’s your outlook is if you think you could potentially lower those anymore?
Joseph J. DePaolo: I would say it would be difficult to move it lower may be a basis point here or there because the new money that we’re bringing in is likely less than what we have right now in the Bank, but I would say don’t count on it moving.
Dave Rochester: Okay, great, thanks guys.
Eric Howell: Thank you, Dave.
Joseph J. DePaolo: Thanks, Dave.
Operator: Your next question comes from the line of Ken Zerbe with Morgan Stanley.
Ken Zerbe: Good morning.
Eric Howell: Good morning.
Ken Zerbe: On the taxi medallion credit side, right, the way I understand the commercial real estate side is that you have clawbacks for the bankers if there is losses. Is there a similar type structure on the medallion side? Has anyone held accountable for losses that may materialize on the taxi medallions?
Joseph J. DePaolo: Yes that would be the P&L for Signature Financial.
Ken Zerbe: So, it’s the same type of structures and the same [indiscernible]?
Joseph J. DePaolo: Yes, honestly it’s the same type.
Ken Zerbe: Got it, okay. And just on the medallions, when you put these loans into foreclosure and sell them off at auction, are you involved in any way in the purchase of those loans or are you financing any of the buyers of those loans – or I am sorry, the medallions, when you sell them?
Eric Howell: Yes, if it’s a medallion that we have foreclosed on. Yes, we have financed, we would finance those.
Ken Zerbe: Got it and it presumably better terms, I would hope.
Eric Howell: Absolutely.
Ken Zerbe: I understood. Okay, great. Thank you, very much.
Eric Howell: Thanks, Ken.
Joseph J. DePaolo: Thanks, thanks.
Operator: Your next question comes from the line of Casey Haire with Jefferies.
Casey Haire: Good morning guys.
Joseph J. DePaolo: Hi, Casey.
Eric Howell: Good morning, Casey.
Casey Haire: I wanted to touch on the deposit growth. I know it can be tough to predict quarter-to-quarter, very strong this quarter. We’re also seeing headlines of – some of the larger banks, obviously, trying to push their deposits off balance sheet. I am just wondering are we entering a new dynamic where we should get used to seeing accelerating deposit growth because of a different landscape for the larger banks.
Joseph J. DePaolo: I would say to us to some extent, but not a great extent. It’s a combination of many things. We – it’s getting referrals from existing clients, we’re seeing quite a bit of that, unrelated to the big institutions. We’ve mentioned before that we have a number of deposit initiatives that we’re not talking about because we don’t want our competitors to know, but some are related to the big banks and some are not related. For instance, there is one initiative that’s totally unrelated to the big institutions and then trying to get rid of deposit and that growth was $0.5 billion in the third quarter. So it’s the combination of – I don’t know if it’s a new dynamic, certainly, there’s opportunity is there, but I would say it’s a combination.
Casey Haire: Okay, I understood. And just following-up on the teams, prospects, and outlook there, obviously fourth quarter I would expect would be quite, but how was it setting up for discussions for 2016.
Joseph J. DePaolo: Very well, there’s quite a bit of discussion – or discussions going on. There seems to be for us some clear opportunities to bring on some very large, very professional teams. But you’re right it’s all looking towards 2016, one, because of the bonus situation; and two, as we digest 2015 we’re getting ready for 2016.
Casey Haire: Got you. And one, more on the medallion if I could Eric on the utilization rates, I don’t know if you disclose that in all the metrics you gave, but the utilization rates for New York and Chicago in the third quarter.
Eric Howell: Yes they are down slightly Casey but I don’t have exact figures on that.
Casey Haire: Okay got you. And one more housekeeping just the tax rate came in late, little late this quarter, what do you expect going forward?
Eric Howell: I would say with the 41% that we’ve been saying is always a lot of moving pieces in the third quarter because we file our actual returns. So to be safe I’d go back to the 41% rate moving forward.
Casey Haire: Okay, thank you.
Eric Howell: Thanks Casey.
Joseph J. DePaolo: Thanks Casey.
Operator: Your next question comes from the line of Chris McGratty with KBW.
Chris McGratty: Good morning. Good morning everyone.
Joseph J. DePaolo: Hey, Chris.
Chris McGratty: Joe, following-up on the expense question, you made some progress on the efficiency ratio. As you look to next year and in the context of the team pipeline, how should we be thinking about either year-over-year expense growth or any marginal progress on the efficiency ratio kind of with the context that if we do see the [indiscernible] pushed in I wonder if there’s any expense related there? Thanks.
Joseph J. DePaolo: Well, right now we’re seeing on the expenses about mid-teens that includes team growth and it also includes any of the cost for the regulatory side as we have because we’re over $10 billion and as we get closer to $50 billion. So one of the things I will tell you in any particular quarter, if we hire more than what we projected internally and that was going to change the costs or the expenses from a mid-teen to a high-teen, we would tell you that somewhat in advance.
Chris McGratty: Got it, got it. Just a follow up on the team comment of a large, potentially a large team, I know you guys hired a fairly large team earlier this year from a small peer. Is that the type of size that, which is little bit a typical of the size that you’ve been hired, is that more along the lines of what you’re thinking or we talking something even more significant?
Joseph J. DePaolo: When I met large amount of size of their book, not necessarily the amount of people, so we hired a team of eight, we’re not looking at eight, we’re looking at something half of that, but a large book of business.
Chris McGratty: Okay, great. And the last question on the reserve, it came down because of the growth in the context of the taxi comments, can you remind us where you’re reserving for multifamily in theory today? Thanks.
Eric Howell: Okay, we are at, on commercial property about 73 basis points, and on multifamily, we are at 69 basis points, and on taxi, we’re still around that 4% number on Chicago and we’ve more than doubled our reserves in the New York to 2%.
Chris McGratty: Great, thanks, Eric.
Eric Howell: Thanks, Chris.
Operator: Your next question comes from the line of Steven Alexopoulos with JP Morgan.
Steven Alexopoulos: Hey, good morning guys.
Joseph J. DePaolo: Hey, Steve good morning.
Eric Howell: Good morning, Steve.
Steven Alexopoulos: Most of my question has been answered. I just had one question, with rates moving down here, it seem like they are going to be lower fourth quarter than the third quarter. Are they lower – low enough for you to see a pickup and refi, and I’m just curious what your customers are doing here, are they extending term to lock in lower rates? Thanks.
Joseph J. DePaolo: Yes, Steve, they have been doing that, we don’t see rates on our loans coming down. To give you an example, at one point when the ten year was at 1.6, we were at 3 and 3.8. So it’s got to come down pretty dramatically for us to make any sort of movement. But they have been refinancing all long hence we’re getting decent amount of prepayment income.
Steven Alexopoulos: Joe to follow-up on that, when they refi, I know that, I think, it was two quarters ago, you were saying, you’re seeing customers extend out term, just curious, if you’re still seeing that here or flow for long means your customers, don’t necessarily want to lock in longer term?
Joseph J. DePaolo: When they extending term, it could be that, they have three years left to go and they coming back to refi for five years, it’s not just they’re going from a five year term to a ten year term, they’re just seeing that the rates are low and it gives them an opportunity to extend by adding on another two or three years. We’ve seen that for the last couple of years and we continue to see that.
Steven Alexopoulos: Okay. Those are my questions thanks.
Eric Howell: Thanks.
Joseph J. DePaolo: Thanks Steve.
Operator: Your next question comes from the line of David Long with Raymond James.
David Long: Hi guys.
Eric Howell: Good morning, David.
Joseph J. DePaolo: Hi, David.
David Long: When talking with big executives and investors it seems like the multi-family structure scenario where there seems to be some concerns and the term bubble sometimes gets thrown around. You guys are obviously growing the book pretty nicely still. How should we think about what you guys are doing in multi-family versus what may be some other banks across the country are doing there?
Joseph J. DePaolo: Well I could tell you this. We are losing – we lose deals, we lose deals because we are coming up with the dollar amount that’s less than what our competitors are coming up with or less than what the client or prospect wants. So we are fairly comfortable with our underwriting and that we’re not getting ourselves stuck into any sort of bubble situation.
David Long: Okay great thanks guys.
Joseph J. DePaolo: Alright, thank you.